Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Flowers Foods Fourth Quarter and Full-Year 2020 Results Conference Call. At this time, all participant lines are on a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]  I would now like to hand the conference over to your speaker today, J.T. Rieck, SVP of Finance and Investor Relations. Thank you. Please go ahead, sir.
J.T. Rieck: Thank you, operator, and good morning. I hope everyone had the opportunity to review our earnings release and presentation, and also listen to our prepared remarks, all of which are available on our Investor Relations website. Following the conclusion of today's Q&A session, we will also post an audio replay of this call. Please note that in this Q&A session, we may make forward-looking statements about the company's performance. Although, we believe these statements to be reasonable, they are subject to risks and uncertainties that could cause actual results to differ materially. In addition to what you hear in these remarks, important factors relating to Flowers Foods' business are fully detailed in our SEC filings. We also provide non-GAAP financial measures for which disclosure and reconciliations are provided in the earnings release and at the end of the slide presentation on our website. Joining me today are Ryals McMullian, President and CEO; and Steve Kinsey, our CFO.  Cindy, we're ready to start the Q&A, please.
Operator: [Operator Instructions] And your first question comes from Bill Chappell with Truist Securities.
Bill Chappell: Thanks. Good morning.
Ryals McMullian: Good morning, Bill.
Bill Chappell: Hey, it was kind of struck by in the prepared remarks the commentary of the growth on Wonder Bread, I mean, almost as fast as Dave's Killer Bread for the year, and so just trying to understand, I guess, a little more color around that, because I would think that, I guess, one, that growing faster than Nature's Own would be a negative hit to price mix, but obviously you had very good price mix both in the quarter and the year. So is that just taking share from private label and your store brand sales and so that's really driving it? Is there anything else going on other than kind of a consumer migration up to a branded product even at more similar price points? And how sustainable is kind of the Wonder strength as we go into 2021?
Ryals McMullian: Sure, Bill. Actually, we're very pleased with the Wonder growth. Most of that is going to be on the bun and roll side, not as much as on the bread side, which is exactly what we went to accomplish. I mean, as we talked about before, we were somewhat behind on our branded bun and roll growth because traditionally we had kind of a smattering of regional brands, the Sunbeams of the world, things like that. We needed to get aligned behind a national brand to run national programs with national retailers and so that's what we migrated to over the last few years. So as some of the retail businesses has fallen off intentionally, we've been able to grow Wonder quite nicely. So again, most of it is going to be on the bun and roll side and that's quite intentional.
Bill Chappell: Okay, that's helpful. And then are you seeing though, I mean, in terms of - in general with the store brands continuing to be weak, do you expect this migration up to more branded products to remain? Or are you seeing a pulling back of that of consumers kind of going back to their traditional buying habits?
Ryals McMullian: Not yet. Not yet. And, of course, that's one of the big questions for the year, right? It kind of goes back to the sort of looking at potential mix reverse in total. But the private label trends that we saw in Q4, actually, if you exclude 53rd week, private label is actually a little bit worse sequentially in Q4 than it was in Q3. So there has been no change in the trend yet. We could see some of that later in the year, but obviously, our focus is on branded growth. So, putting support, additional support behind brands like Wonder and Nature's Own, Canyon, Dave's, the rest of them is a key strategic priority for us.
Bill Chappell: Got it. And then one last one, Steve, I think we're all familiar that when you hear major ERP implementation with packaged food company, it is not always a recipe for success. So I mean, can you just help us understand where the systems are and what that processes is part of the transformation office and what kind of – what you kind of expect to see coming out of that once it is done?
Steve Kinsey: Sure. Yes, when, I guess – historically, I guess when you hear ERP initiative or upgrade, investors get a little smooth. But the reality is, I think over the past decade or so, you've seen most of these be very successful. We implemented SAP back in 20 - back in 2000, so it's been about 20 years and we haven’t had or seen any major or significant upgrades within our system. Currently, we are on track to keep SAP as our overarching ERP system and they are in the midst of an upgrade with S/4HANA, so basically, we'll be falling in line with that. And Bill, we're in the middle of selecting an implementation partner. And after that point, we'll decide which modules move into true upgrade. But overall, we feel like with the transformation office and the plan we have laid out, we'll be very mindful and cautious with the approach. So it's not like we're changing our ERP platform, it's really an upgrade of what we currently have.
Ryals McMullian: Yes. And Bill, just to add to that, we are pretty early in the process. I mean we're – as Steve said, we're just getting the SI selected. So it's early days, but it's also important you saw in the prepared remarks to remember that this is not solely an IT project. This is but a part of a broader digital strategy. And the best way that I think you should think about it is that, particularly, the ERP upgrade and the rest of the digital strategy are really going to be key enablers to the execution of our broader strategic plan, whether that's brand support or network optimization or plan upgrades.  to be quite frank, from an overall digital standpoint, Flowers is behind its peer group and frankly its competitors. So, this is something that we've needed to do for quite a while. Obviously, coming off of a very strong year, great cash flows, very strong earnings, yes, this was a great time to make the investment.
Bill Chappell: No, I get it. And would we see the benefits this year? Or that's more next year in terms of some of these efforts?
Ryals McMullian: Yes, very, very little, immaterial benefit this year. The investments will come this year, the benefits will follow in 2022 and beyond. And we'll be more specific about that later in the year as the business case comes into clear focus.
Bill Chappell: Great. Thanks so much.
Ryals McMullian: Sure.
Operator: Your next question comes from Brian Holland from D.A. Davidson.
Ryals McMullian: Good morning, Brian.
Brian Holland: Yes, thanks. Good morning, everyone. Good morning. So I wanted to ask about the guide for 2021. I think, Ryals, in your prepared remarks, you make reference that the guidance is in line with the targets, with your long term targets if you use 2019 as the base. So, I guess, I would think that this backdrop would be net favorable, obviously, it was hugely favorable in 2020, obviously mean reversion coming in 2021. But you still have a quarter of - or at least two months here, which would be more or less what we've seen in the past several months. And then, even if we start to revert back, we still are going to have this mix of more work from home. It will be a progression towards herd immunity, et cetera. So kind of with that as backdrop, I mean, is it as simple as the commodity inflation and the investments in digital are going to be the offsets that keep us in line with algorithm as opposed to maybe saying above algorithm for another year or if we're going to use the 2019 to 2021 trajectory? Or is there something else we should be thinking about here in the way that you're forecasting out the year?
Ryals McMullian: No, no, I think you're pretty much spot on. The only thing I would say is maybe a slight correction is the very bottom end of the guidance would be slightly below algorithm. Now also remember, you've got an estimated $0.05 of digital investment that we're making this year that does burn that. We’re not adjusting for that, but it is a factor to be considered, but that dollar settled on the bottom end would be slightly below. But, again, making the investments to enable us to be within or above algorithm over the longer-term, so I'll say that first. I think that the factors for the year, I think, you've got all of those right, not sure that I would put commodities at the top of that list. I think, top of mind for me are two things. When and – when does the mix reversion happen, and to what extent does it happen, right? How deep is that mix reversion back towards, let's call it, 2019 levels? I personally don't think it will go all the way back, but I do think that there will be some, and the timing of that would impact ultimately where you fall in the range, that's number one. Number two, would be the promotional environment. Right now, in the fourth quarter, things remain stable. I would say the same after five weeks into the New Year. But as we move through the year and things revert back to normal to what extent does the category start to promote more to retain the gains of 2020.
Brian Holland: I appreciate the color, Ryals. And if I could just follow-up on that last point. So historically, when I think about this category and I think about the backdrop for Flowers Foods, intuitively, the logic has been inflation is a net positive for Flowers because you compete against a disproportionate number of independent bakers, who maybe don't use as much for buying, don't have a sophisticated hedging practice. So, maybe have to be responsive to higher weak costs right away, which gives you either the flexibility to take pricing time and realize the higher spread, or maybe kind of continue to manage given your hedging and then maybe you're going to see that inflation a little bit later. You could be a little bit more promotional and you would take more share, so either way you sort of are in a favorable position. I guess the inverse would be a little bit, would be true as well when we start to see deflation. But - so I guess maybe two things. One, is that an outdated logic, as it pertains to the setup? And then two, if it's not, if it's still relevant then how do you think about managing that over the next 12 months? Is the focus on volume, or is the focus on getting the prices through and flowing that through to margins?
Ryals McMullian: Yes. Let me start and I may ask Steve to weigh in here, too. No, I don't think it's outdated logic, but I also think it's perhaps not quite as meaningful as it once was given the industry consolidation. I mean there's just not as many independents as there used to be, right? So their influence is not quite as great though it is still there. I think everything you said was accurate. I just don't think it's perhaps as impactful as it was a decade ago. What I would also say is that, and we've seen this throughout 2020, in particular, that we've been able to promote at a higher base price. We're getting more dollar lift from our promotions and I attribute a great deal of that to the capabilities that we built from a price promotion standpoint that we did not have before. In short, we're just a lot smarter about how we promote, where we promote, when we promote, and we're able to get a better return on that. And I also think that the overall branded strategy really helps there, too. I mean, we're working with really strong brands as you know and I think that that goes a long way as well. Steve, anything you want to add to that?
Steve Kinsey: No, I mean, Brian, we stayed pretty true to our philosophy and strategy, that’s worked. I would say fairly well for us for – throughout most of my career. So to Ryals point, we take coverage in that six to nine months timeframe. And obviously, that -- some years, that works well for us. Some years, as you say, will be deflationary and we may be call it. But for the most part for 2021, we feel good about the coverage we have on and off. We'll see inflation start to ramp somewhat in the - late in the second quarter, but then it really picks up in the back half and that's really dependent on how the crops come out. So they’re - while we expect pretty significant inflation back half, there may still be few opportunities there.
Brian Holland: Understood. And again, in you – I appreciate in your prepared remarks from last evening the way in which you organized a lot of the initiatives and clearly you have a number going on. Some may take a little bit longer, some may flow through quicker, one that stands out to me, I don't know if it's my Philadelphia roots or maybe just some conversations I've had with you all offline. But I'm really curious about the Navy Yard and the underperforming Snack Cake segment for you. If we could just kind of walk through, how quickly we think we can enhance the performance there with the new leadership and maybe a tighter focus on that, and kind of what the mechanics are?
Ryals McMullian: Sure. Happy to do it. Well, I'm pleased to report that we're already making good progress. I mean, the changes that we've made putting David out there to oversee those efforts, particularly the Navy Yard and frankly, the team that we have there at Navy Yard, they've really done a great job getting the operation on its way to turning around. We're not there yet, but we're really starting to see some nice progress, saw it towards the end of the year and that's continued into this year. We have pretty significant targets set for them this year that they're able to achieve and I have no reason to think they will not. As I've said before that will be material benefits to the company as a whole, not just Navy Yard. I think we've mentioned before, we've upgraded some equipment in that plant, put some capital dollars into it, automated some of the lines, particularly on the packaging and installed some robotics, that has helped a lot to bring the scrap rates down which was a major issue there and a large source of the financial difficulties they were having. So we're definitely on the – we’re on the path to recovery. We're not there yet, but we expect to see significant improvement there this year. I’d also mention that we're not just doing things from an operational standpoint, talking specifically about Navy Yard and Tasty now, but we're also doing things on the commercial side. So far on the operations, we are doing SKU rat. We're focusing on price and promotion to make sure we have all that right. We're getting the required return. So it's a combination effort of both operational improvements and commercial improvements.
Brian Holland: Appreciate all the color. Thank you.
Ryals McMullian: Sure.
Operator: Your next question comes from Rob Dickerson with Jefferies.
Ryals McMullian: Hi Rob.
Rob Dickerson: Good morning, thank you. Yes, so just a kind of question on M&A thoughts, from here obviously it sounds like you have a few moving pieces, right occurring this year, and going through a larger optimization plan and ERP strategy, your CapEx is up. But like you said Ryals, you ended the year in a great cash position, probably, I think the best ever, leverage seems to be fairly well contained. And then also your EPS target, I think long run, relative to sales and EBITDA target does include some M&A right? So would you say, hey, given that you've been the kind of more of a trade transition year and kind of where the focus is internally that you may not be in a spot right now to be aggressively pursuing a healthy pipeline of acquisitions, or the at same time, could you potentially as an organization still be active with acquisitions while you're implementing the other pieces of the strategy? That's just the first question, thanks.
Ryals McMullian: Sure Rob, and short answer I absolutely think we can still be active there. I mean, I think particularly now that we have the transformation office set up, and with the governance protocols that we have in place to oversee all these strategic initiatives, that we're in a better position to be able to flex. So even if you have to pause something for a moment in order to, I mean M&A opportunities come and you've got to kind of strike while the iron is hot, if the timing is not necessarily always of your choosing. But I think we would have plenty of flexibility to turn our attention to an M&A opportunity should that arise. I'm actually pretty excited about this year from an M&A standpoint. I mean we are starting to see things begin to heat up again sort of post crisis, if you will. A lot of things coming to market, a lot of rumblings about things to come down the road. So you know the pipeline remains good. We will remain pretty disciplined about how we approach this, but the opportunities seem like they're starting to pick back up again.
Rob Dickerson: Okay, great. And then just quickly, and pardon me if somebody else had asked this. Unfortunately, I did hop on late, in the prepared remarks from yesterday, right there's a line in there that sates sort of kind of, there are optimization savings of $30 million to $40 million, it seems like that's kind of more front half loaded in the year. So maybe if you could just, this is probably for you, Steve, just kind of walk through why there wouldn't be incremental optimization savings in the back half of the year? That's one and then two is, can there be upside from those optimization savings to hopefully, potentially partially offset some of the promotional and just overall cost inflation risk later in the year? Thanks.
Steve Kinsey: Sure, there are some benefits to the back half, it's just that the majority of them are coming in the first half. And Rob, this is basically a continuation of the portfolio optimization savings we got in the back half of last year. It's all the same initiatives on overhead and procurement and all those all those things we talked about last year. We just start to lap them in the second half of the year which is funded benefits sounds great.
Rob Dickerson: Sorry, if I could just a real one quick last one, is just on kind of where you've seen the mix of the business go throughout the past whatever 10 months. Were there any kind of broad learnings that kind of would make you rethink where you want to play like that assuming you still want to have the capacity come back on some of that food service business and some of the private label business? But if they all didn't come back, would that necessarily be a bad thing for Flowers, just given what we've seen has happened with price mix and margin?
Steve Kinsey: Not necessarily, no. Look, as we've said, there are certainly pieces of our food service business that we really like and then there are some parts that are underperforming and we're working to get those up to up to snuff [ph]. But I think the key learning from 2020 is the power of mix. And Rob as we've talked about, this was our strategy going into 2020, focusing on brands and trying to get us to a higher mix of branded products in the portfolio, both organically and in future M&A deals. 2020 really exaggerated that in a very meaningful way. But I think for us the most powerful thing it did throughout the organization was demonstrate that power of mix to everybody from me, all the way down to the organization, because there were older company, we've got a lot of long tenured employees, there was a certain way of thinking here that kind of emphasized volume over value instead of the other way around. This really proved to everybody again from me to the inherent really the partners to the folks at plants that mix matters and you don't need all that volume if you're, if your mix is positive.
Rob Dickerson: Okay, perfect. Thank you.
Operator: Your next question comes from Faiza Alwy with Deutsche Bank.
Ryals McMullian: Good morning.
Faiza Alwy: Hi, good morning. Thank you. So I was wondering, I guess a little bit of a follow up to the last question on, but specifically on DKB and Canyon, it strikes me that those are sort of more longer term growth drivers. And I was wondering how you were thinking about those two brands relative to the rest of the branded portfolio? Like, is there a scenario where maybe this year those two brands can continue to grow while you do see mix of origin and the rest of the portfolio? So just more color on how you were thinking about the various pieces of the branded portfolio this year?
Ryals McMullian: Sure, Faiza. Well, I mean, it shouldn't come as a surprise that both DKB and Canyon are obviously big, big beneficiaries of our focus. They do continue to grow at a rapid rate. Obviously, Canyon’s a lot smaller being in a smaller category. I'm happy to report, DKB is now over an $800 million brand at retail and we just bought them back in 2015. So the growth has just been extraordinary. But I'll say again, DKB's household penetration is half of Nature's Own still. So there's a tremendous amount of room to continue to grow that awareness and as we grow that awareness, not only do we grow the DKB brand with the product portfolio we have today, but it also gives us a right to expand that product portfolio into potentially even adjacent categories. So I think the runway for growth for days is tremendous. I similarly think that of Canyon though is a smaller piece of the pie, I think Canyon was around $120 million at retail, JT this year, so great growth from them too, but just on a smaller scale. But I think there's plenty of opportunity to continue to grow in the gluten free categories as well. Canyon has basically doubled its share of the gluten free bread category to around a 34 share. I think at last look, and of course DKB has a 68 share of the organic bread category. So we're in a significant position of strength, so it's incumbent upon us to capitalize on that.
Faiza Alwy: Yes. And I guess as it relates to M&A focus, has anything, you seem pretty excited about the potential opportunities. Can you talk about what would get you most excited? I know, at one point you'd, laid out certain categories that you would want to be in, is this sort of brands that are maybe sort of similar to DKB, Canyon, sort of what are you, what type of opportunities would you be most excited about?
Ryals McMullian: Sure, I mean, I can't obviously can't comment specifically all brands, but what I will say is, we would be looking for things that look, one that's strategically and culturally. I mean, we're always bearing that in mind. Obviously, the numbers have to work, so you have to, it has to fit financially. But beyond that, we are looking for brands that are growing. We are looking for brands that can be complimentary to our existing portfolio and help us grow the overall business and obviously, we're looking for assets that can be margin accretive. Even if they're not at the outset, can they be, and is there a good plan for them to be, in the long term as they scale up and grow. We have the ability to distribute a DSD and warehouse, so we're not just limited to DSD, even though that is the bulk of our business. Warehouse models are certainly no issue for us. It's really about, you know, does it fit financially, does it fit operationally, does it fit culturally and does it the complement the brand portfolio.
Faiza Alwy: Great and then just last question for Steve, I know you, we've talked a little bit about cost inflation. Is there a way to quantify, so how you're thinking about the inflation in the back half or what's embedded in your guidance? And are there sort of any offsets that you're embedding beyond the portfolio optimization savings?
Steve Kinsey: I mean, we would not give specifics, but when you look at kind of what's happening within the wheat market, which primarily impacts flour, which obviously is our largest input cost, that's where we're seeing the most inflation. And historically, when you've had inflation with commodities you've seen some pricing power. So, we would hope to be able to mitigate -- if it continues to on the trajectory we're seeing now, we would hope to be able to mitigate some of that food pricing. But then there's also, as Ryals mentioned, we still have optimization efforts going on. We're looking at mitigation and maybe even other offsets with input costs. But the reality is, it looks like now that, like most of that inflation is gone on hold in the back half.
Faiza Alwy: Okay, thank you so much.
Ryals McMullian: Thank you.
Operator: Your next question comes from Tim Perz with Stephens.
Ryals McMullian: Good morning, Tim.
Tim Perz: Two questions guys. Good morning. So I just wanted to touch on guidance first, just how are you thinking about the cadence of the return to normal, how should we think about the impact on sales trends? And then how should we think about the contribution of volume and price mix to your top line sales guidance?
Ryals McMullian: So let me start with the cadence and I'll let Steve talk to the mix. Look, it's a hard thing to forecast as we all know, but generally speaking, what we've seen so far in the year has been fairly similar to what we saw in the first quarter. There have not been any major changes yet. However, as you start to approach around week 11 or so for us, that's when the difficult comps start against the, Tim the initial surge in demand. I think the real question is, at what point do you get really broad vaccination rollout? I think, you know, one thing that's come out in the last week is, Johnson and Johnson getting the emergency order for their doses, which would take it up I think to around 600 million doses, which would pretty much do it. Right? But how fast is that? How fast does that get rolled out and at what point do you, you kind of reach that herd immunity? The latest things that I'm reading suggests a Q3 Q4 herd immunity when you reach that. But between now and then, how quickly do things go back to normal? And then the follow up question is, what is normal? What does the new normal look like? Is it a full reversion or is it something less than a full reversion? So, we think that things should trend, around the same for the first quarter or so, and then start to taper back in the three quarters that follow. So that's pretty much what we've built into our guidance model. But obviously, that's an educated forecast and not set in stone. We’ll just have to watch to see how it shakes out. I wish I knew for sure, but frankly none of us do. So, Steve do you want to talk to the mix?
Steve Kinsey: Yes, I mean, basically, as Ryals said from a reversion and mix perspective, the mix has been a strong contributor at 2020. So as that starts to wane somewhat as we return to more normalcy, that will drive and impact overall margin. And the way the kind of the cadence of the guidance is, as Ryal said, that really begins to happen in Q2 and then moving into the back half, but it's kind of a jump ball. If we continue to see a lot of in-home eating continue, that'll be very, very favorable to the mix, but if you see a lot of confidence in consumer to start losing about again, and dining out, and obviously that will drive mix reversion back to something pre-2020.
Ryals McMullian: Yes. Just to add one more thing to that, Tim, I mean, the midpoint of our guidance is about algorithm. And as we've said, even that midpoint is burdened by our digital investment that we're making this year. So obviously, we're pretty confident in the plans that we have for the year. Now the bottom end of the guidance, that wouldn't be just a mix reversion. That -- we're being a little bit perhaps cautious coming out of the gate just because of the lack of visibility, but what would get you to the bottom end of the guidance would be, sort of all these factors coming together much higher promotional environment, commodities a pretty deep mix reversion. But, yes, the mid to the top of the guidance obviously reflects our continuing confidence in the strategies of the business.
Tim Perz: Okay, that's helpful. And I just wanted to touch on a bigger picture question there. What were the biggest lessons that you've learned over the past year and do you think there's anything structural that you think might make Flowers a stronger company coming out of the COVID environment?
Ryals McMullian: Yes, I'll tell you. It's an interesting question and I think we've already done a lot of it. I mean we've, as you know, we've reorganized, we've created the Chief Brand Officer position, we've got a new innovation function and we have the transformation office now, we've hired a new Supply Chain Officer, Steve's hired a new Procurement Officer. So I think we've done a lot of the organizational structure things that we need to do and I feel really good about the team that we have in place. As I say, all the time, I think we've got the best team in the industry and I think with the changes that we've made, we're even stronger. As I mentioned earlier, I do think that this demonstration of the power of mix in our business is one of the most powerful things that's happened to the company over the last several years. It's been a, learning opportunity for the company. It's allowed us to change the mindset of our, the not only the management team, but the broader organization, that focusing on brands and following our portfolio strategy is the right way to go for the long term and I think we can continue to build on that.
Tim Perz: All right, thanks, guys. I’ll pass it on.
Operator: Your next question comes from Mitch Pinheiro with Sturdivant.
Ryals McMullian: Hi Mitch?
Mitchell Pinheiro: Hey, one question just or two questions perhaps, the store brands does this reverse in ‘21? Are we going to see store brands take share or have retailers sort of learned a good lesson during the pandemic that private labels just devalues the category?
Ryals McMullian: Yes, it'll be interesting to watch how that unfolds. What I would say Mitch is that, private label was in, in our category at least, was in decline prior to the pandemic. Now, the pandemic did accelerate that. But, we were kind of seeing these trends even prior to 2020. The retailers, if I were the CEO of a retailer, I would want to give the consumer what they want. And consumers are obviously looking for brands. They're looking for it on the shelf, the physical shelf, they're looking for on the digital shelf and that's where our focus is. So again, I can't speak to you know what the retailers might be thinking, but if I was running one of them, I would want to give our consumers what they're asking for.
Mitchell Pinheiro: Okay. And the second question is, just sort of, you called out the higher promotional or the potential for higher promotional environment in the back half. If you're not seeing it now you haven't seen it, why would it be a risk? I mean, what would be the, especially in light of maybe higher commodity costs, why would -- is this something that you are anticipating or is it just calling out a typical risk for any type of packaged food company?
Ryals McMullian: Yes, I think it's more of the latter. And certainly, we've heard all the food companies talk about it, some even talk about how they plan to be more promotional this year to keep the share of the game through the pandemic, so I think it's just a watch out. You're right. We haven't seen it yet, but it's just a risk that we have to take into account, should things very quickly revert back to normal. Yes, how much more promotional does the category overall get to retain that that share and to what extent do we have to participate in that.
Mitchell Pinheiro: Okay, that's all I had. Thank you.
Ryals McMullian: Thank you, Mitch.
Operator: Your next question comes from Ryan Bell with Consumer Edge Research.
Ryals McMullian: Good morning, Ryan.
Ryan Bell: Good morning everyone. Probably not the core focus right now, but could you talk about the food service business and your expectations for the recovery over the course of the year?
Ryals McMullian: Sure, I think the food service recovery largely follows the question around, what normalization looks like? What extent are restaurants open back up? New York starting to slowly open back up, but at a very low occupancy level. It really depends on what that trajectory looks like. Ryan, the fast food side of the business has performed pretty well actually. I mean, it's been up a little bit, it's really still that broad line, sit down fast casual type business that that remains under pressure. If you look at the fourth quarter, again excluding the 53rd week, foodservice, non-retail and other for us, but that includes the food service business primarily, was slightly better, but no meaningful recovery yet. So, I think, if you were to pin me down, or I would say, you'd probably start to see some maybe more meaningful recovery in the food service business towards the back half of the year, as opposed to I think the front half will tend to be more the same.
Ryan Bell: Thanks, that’s helpful. And on the innovation front, is there anything that you would have in mind to help retain some consumers. I mean, if you're spending more time at home, it's easier to justify having a whole loaf of bread versus if you're going to be having more time at the office, what that would mean? So, I mean, maybe innovations such as like half of both any emphasis behind that or anything else that maybe you learned, you might want to focus on more coming out of the pandemic?
Ryals McMullian: Yes, it's a great question. I don't want to be too specific for obvious reasons, but suffice it to say that we have a pretty significant amount of innovation coming this year. Our innovation last year contributed some $60 million to the top line. So we've been very, very pleased with those efforts and I think, the way that we've restructured and the resources we've put behind innovation will continue to deliver and hopefully at a faster rate going forward.
Ryan Bell: Okay, that's helpful. And I think the last one from me, could you talk about your expectation, the labor market and workforce costs 2021, and there's been some of the frontline costs they've had associated with COVID-19, is that, does that just go away once you have the majority of the workforce vaccinated, how should we think about that?
Ryals McMullian: I'm not sure that some of the costs and safety protocols are going to go away for a long time. I mean, despite everyone being vaccinated, you've got these other variants that are going around, there's probably going to be more of them as we go down the road side. I personally think that we're going to be living with this in one way or another for quite a long time. What will help though us is if it is, but this way, the biggest issue for us from a labor standpoint in 2020 was the number of people that were out, either because they had contracted COVID or because they had come in close contact and we were following our safety protocols. And obviously, that disrupts our operations and your efficiencies are lower. I mean, despite our performance in 2020, had the plans been able to operate at the efficiency levels they were capable of, it would have been a lot, it would have been would have been even better, significantly better. But you just had, you had so many people out. So I am looking forward to that calming down. As a matter of fact, we've already seen it calm down. Our experience at Flowers kind of follows the national trends, the case counts are coming down everything. So things are already beginning to normalize. We haven't really seen, like pure wage inflation, but it's been more of the resulting inefficiencies from folks being out.
Ryan Bell: Perfect. Thank you. Have a good day.
Ryals McMullian: Thank you. You too.
Operator: I'm showing no further questions at this time. I would now like to turn the conference back to Ryals McMullian for closing remarks.
Ryals McMullian: Thank you very much, Cindy. I just wanted to thank everybody for their interest in Flowers and we look forward to speaking with you again next quarter. Take care.
Operator: Ladies and gentlemen, this does conclude today's conference call. You may now disconnect and thank you for your participation.